Operator: Hello, and welcome to the Andean Precious Metals Third Quarter Conference Call and Webcast. [Operator Instructions] I would now like to turn the conference over to Amanda Mallough, Director of Investor Relations. You may begin.
Amanda Mallough: Thank you, operator, and good morning, everyone. Thank you for joining Andean Precious Metals for the conference call to discuss our financial and operating results for the 3 and 9 months ended September 30, 2025. Our press release, MD&A and financial statements are available on both SEDAR+ and our corporate website at andeanpm.com. Before we get started, I would like to point out that during today's call, we may make forward-looking statements as defined under the Canadian securities laws. Please refer to our cautionary statements and forward-looking information and risk factors contained in our MD&A and other filings. With us on today's call are Alberto Morales, Executive Chairman and CEO; Yohann Bouchard, President; Juan Carlos Sandoval, Chief Financial Officer; and Dom Kizek, Vice President, Finance and Corporate Controller. Following management's prepared remarks, we'll open the line for questions. And with that, I'll turn the call over to Alberto.
Alberto Morales: Thank you, Amanda, and good morning, everyone. The third quarter was a strong period for Andean, marked by record revenue, record earnings, record liquid assets and record earnings per share. We delivered revenue of $90.4 million, adjusted EBITDA of $36.8 million, net income of $43.7 million or $0.29 earnings per share, the highest in the company's history. These results reflect the combination of strong metal prices, disciplined cost management and higher consolidated production versus the previous quarter. Importantly, we generated $11.2 million of free cash flow and increased liquid assets to $121 million, up from $82 million a year ago. Operationally, San Bartolome delivered another excellent quarter, benefited from higher silver production, higher silver prices and continued efficiency. Golden Queen faced a short-term production impact related to the leach cycle timing and the team moved quickly to recondition the sale and optimize the process. Looking ahead to year-end, we expect San Bartolome silver production to be within the high end of its guidance, offsetting the lower production at Golden Queen, which was impacted by the leach cycle timing, although showing improvements into the initial part of Q4. On a consolidated basis, production is expected to finish near the lower end of the guidance with a solid cost and margins performance at both assets, maintaining a robust financial performance despite production variances. Our focus on cost and capital discipline continued to pay off. Total CapEx was just $0.6 million in the quarter, and we expect our year-end CapEx to be in line with our guidance. In November, we also filed a base shelf prospectus, qualifying up to $200 million of securities over 25 months, giving us the flexibility to access capital markets efficiently when needed. This is a strategic step that strengthened our long-term optionality. Overall, this was a very strong financial quarter despite production variances, highlighting the resilience of our portfolio, our financial discipline and the capability of our people across both jurisdictions. With that, I will hand it over to Yohann to review operational and explorational performance.
Yohann Bouchard: Well, thank you, Alberto, and good morning, everyone. So let's start with production. Andean delivered just under 25,700 gold equivalent ounces in Q3, bringing year-to-date production to about 71,400 gold equivalent ounces. That's a 6% increase over the previous quarter, thanks to a strong contribution from San Bartolome. At San Bartolome, the operation continued to perform extremely well. Mill throughput averaged roughly 4,100 tonnes per day with 85% silver recovery. Production totaled 1.4 million silver ounces or about 15,600 gold equivalent ounces. Cost performance was strong. Cash gross operating margin came in at $16.13 per silver equivalent ounces and our gross margin ratio was 43.8%, both near the upper end of guidance. Increasing our purchase volumes and consistent processing supported these healthy margins. At Golden Queen, production was slightly below 10,100 gold equivalent ounces. This reflects the impact of leaching cycle timing, which temporarily slowed recovery in one of our leach sales. The team acted quickly, reconditioning the sale, optimized our blending and lowered the solution application rate to mitigate fine vertical migration. Despite lower ounces produced, our cash costs were $1,623 per ounce and all-in sustaining cost was $1,807 per ounce, both well within our guidance range. As we move into Q4, we expect consolidated production to finish near the lower end of our full year guidance with all financial metrics trending within our guidance range. We also made strong progress in our exploration program at both operations. At Golden Queen, the Phase 3 program has been extended to 8,100 meters after encouraging drilling results at the Hilltop and Starlight Vein areas. Recent assays include intersection of up to 1.67 gram per tonne gold and 20 grams per tonne silver over 5.9 meters, confirming continuity and potential extension along strike. This program is focused on extending mine life by extending Main Pit 2 and defining new near-mine resources. At San Bartolome, we advanced our partnership with COMIBOL securing exploration permits and social licenses across multiple oxide targets. The shallow core drilling program of 5,500 meters started earlier in Q4. The goal is to test roughly 800,000 tonnes, creating 150 to 250 grams per tonne silver. Ultimately, this will help extend mine life and fully utilize the planned 5,000 tonnes per day capacity without major capital investments. Operationally and strategically, we're in a strong position with exploration adding meaningful future potential. With that, I will pass it over to J.C. for financial review.
Juan Sandoval: Thank you, Yohann and good morning, everyone. From a financial standpoint, Q3 2025 was the strongest quarter in Andean's history. Revenue reached $90.4 million, driven by higher silver production and strong realized prices of $3,448 per ounce of gold and $40.09 per ounce of silver. Gross operating income increased to $36.8 million and income from operation was $30.7 million. We generated EBITDA of $58 million and adjusted EBITDA of $36 million, net income of $43.7 million and earnings per share of $0.29 fully diluted, each a record for the company. Free cash flow was $11.2 million, supported by strong operating performance and lower capital spending. CapEx totaled $1.1 million in the quarter. Our balance sheet significantly strengthened this quarter. Total assets grew to $370.8 million, while total liabilities fell to $145.2 million, reflecting debt repayment and higher working capital. Liquid assets rose to a new record high of $121 million, up from $82 million at the same time last year and $81.6 million at year-end 2024. Our financial position remains strong. We continue to have a negative net debt position and significant cash reserves. Combined with the recently filed base shelf prospectus, Andean has the flexibility to pursue further growth opportunities. With that, I'll turn it back to Alberto for closing remarks.
Alberto Morales: Thank you, J.C. To close, I want to highlight that Q3 reinforced everything that we have been building on, a resilient cash-generating business, a clean balance sheet and a clear path to pursue transformative initiatives. As this slide shows, we are well positioned for continued growth with robust financial, maintaining financial flexibility, evaluating selective opportunities to build further growth and value creation through advancing exploration programs across both of our assets. We delivered record financial results and meaningful exploration progress. San Bartolome continues to perform consistently. Golden Queen is returning to normal production parameters, and both assets are well positioned for a stronger fourth quarter. We look ahead, we remain focused on executing safely, maintaining cost discipline and advancing our organic growth pipeline. With our financial flexibility, exploration upside and a disciplined team, Andean is well positioned for continued success into 2026 and beyond. Thank you all for your continued support. Operator, please open the line for questions.
Operator: [Operator Instructions] Your first question comes from Omeet Singh with SCP Resource Finance.
Omeet Singh: Congrats on the quarter. I had a question on CapEx. You were mentioning that CapEx will be hitting roughly guidance for the year. I know in Q3 was a lot lower than the prior 2 quarters. Could you speak to what types of CapEx spending you envision for the fourth quarter? Because I think at this run rate, correct me if I'm wrong here, but it will come in significantly below guidance.
Juan Sandoval: Omeet, it's J.C. Thanks for your question. So this quarter, it was just in relation to our CapEx spending plan. But as we've said, our plan is to -- we will be within the guidance, within the average of our guidance by the end of the year.
Omeet Singh: Okay. Appreciate that. And if I may, I'd like to ask another question. The second one would be in relation to inventory, which increased significantly, obviously, quarter-on-quarter. I'm assuming that's related to the percolation issue this quarter? And should we expect that to come off in Q4 or early next year? Is that the right way to be thinking about it?
Yohann Bouchard: Yes, Yohann here. Thanks for the question. Yes, you're absolutely correct. I mean, with the -- I would say, the issue that we had with -- in our Cell 11, I mean, the inventory is still there. And we really use a prudent approach to resume leaching. So I mean, the main contributor to that is we leach using really a slower rate applying solution. And for sure, I mean -- and we see and saw it that our production is coming back slowly but sustainably, and we're expecting it to -- I mean, we pretty much came back at this moment to the production rate that we have in Q1 and Q2, and we're setting the tone to increase further in the beginning of next year. And as you know, I mean, those ounces cannot be recovered over a single quarter, but they're going to be recovered over a longer period of time. So you're absolutely correct on your assumptions.
Operator: The next question comes from Allison Carson with Desjardins.
Allison Carson: My first one is a bit of a follow-up with the CapEx. I think there was a negative growth capital expense this quarter. Could you just give more color on what that was?
Dom Kizek: Allison, Dom here. We adjusted our CapEx metric this quarter to be on a cash flow basis, so that was just a catch-up. And then just to further J.C.'s comment, we are expecting to be within the guidance range at the end of Q4. And some of those projects are going to be including a new heap leach pad that we're starting to build up.
Allison Carson: Okay. Great. And then it sounds like everything is working well back at Golden Queen and the leach cycling is improving. If this issue arises again, do you think you'll be able to resolve the issue with less of an impact to production?
Yohann Bouchard: I'm not so sure to understand the question, sorry.
Allison Carson: Sorry, it sounds like everything at leach cycle is improving following the issues that you had in Q3. If you have more issues with the mine particles in clay again, based on going through this time, do you think that you should be able to resolve the issue quicker with less of an impact to production? Or could this still have another big impact to production in the future?
Yohann Bouchard: Thank you for that. I mean I think that we took a lot of action to make sure that it will not happen again. But I would say that, that was more related to an operational problem. And for sure, I mean, we question the way that we blend and everything that we did upstream of leaching. But all the extra measure that we took and also, I mean, we're considering that we're going to also commission a new agglomeration drum in December and looking at also a fine bypass next year to mitigate that project further before the clay hit the HPGR, I believe that we're going to be in really good shape to mitigate such a problem going forward. So absolutely. But again, we took many actions, and we still have other action to take, not only like improving our processes, but also improving the equipment and also doing proper investments to mitigate such of issues.
Allison Carson: That's great. And then my last question is just I was wondering if you could talk a little bit about the election results in Bolivia and how you expect that to impact San Bartolome, if at all?
Alberto Morales: Yes, Allison. The elections in Bolivia, as probably you have read on some of the editorials, the new President is more center-driven than the previous governments. We believe that there will be -- or at least the rhetoric that they've been using is that they are basically changing the tone of the philosophy that it's been ruling the government from being more of a stream left towards the center and welcoming further investments. Under that tone, if that was to materialize, certainly, I think that the international markets will view very favorably if they were to be opening themselves up for further investments. And most importantly, that may also or at least in order to pursue further initiatives to promote that. It may include some initiatives on legal reforms, tax reforms, but it's too early to tell but we're cautiously optimistic, but I will still keep the word cautious.
Allison Carson: So congratulations on a great quarter.
Operator: The next question comes from Ben Pirie with Atrium Research.
Ben Pirie: Alberto, Yohann, J.C. congrats on another good quarter. Just a couple of quick questions. Most of mine have been answered. But Yohann, I guess, given the improvements you've been making and are continuing to make to the leaching system and the grinding circuit, can you talk about potential increases in recovery? Is there any opportunity there and that goes with the new leach pad as well?
Yohann Bouchard: I would say -- I mean, the recovery is mostly is directly related to the way that -- I mean, we apply solution and making sure that the solution reached all of the little corner, I would say, of the leach pad. So -- and again, I mean, it took some time, I think, to recover from, I would say, the shortfall that we had because of the prudent approach and sustainable approach that we have undertook to apply the solution again. And we see it like week after week, production is increasing and it's still increasing at this moment in time. So -- and don't forget that the last 2 or 3 quarters, we put really high grade on the leach pad. And I mean, we start to see some benefits out of it. And basically, the other thing that I have to add to that, we're also contemplating the project to increase our capacity to the Merrill-Crowe. With very little investment, we can increase from treatment of 3,000 to 4,000 gallons per minute, and we're looking into it. So we would like maybe instead of deviating some of the solution to the low-grade pond, we would like to leverage that and send that to Merrill-Crowe that would also increase production. And that can be done within months basically. But overall, I mean, be certain that it's increasing. Production is increasing, recovery is increasing as well. And by the nature of the leach pad that recovery is like -- it's not like you're losing gold. It's just like postponing, I would say, the recovery of some gold in the following quarters. But for sure, our goal is to catch that water within a certain amount of time. and we'll get to that for sure.
Ben Pirie: Right. Understood. And I guess in terms of drilling at Golden Queen, is everything progressing as planned? And are you guys still on track to report the updated resource in H1 '26?
Yohann Bouchard: No, it's progressing really well, actually. I mean, as you know, I mean, we decided to invest further more. I mean we increased to 8,100 meters total drilling for this year. We add -- I mean, you saw the drill. We add that drill. That team is performing really, really well. We're looking to have a third drill before and at this moment. And we're going to keep drilling. I mean, nonstop until, I mean, we see some significant results. But everything at this moment still aligned to deliver like a technical report and reserve upgrade by the end of next -- of this year. So everything is going according to plan on that aspect.
Ben Pirie: Perfect. And I guess just my last question, just given the higher gold prices over the last couple of quarters, is there any changes? Are you seeing any issues with the ore sourcing at San Bart?
Yohann Bouchard: I think on that aspect it's interesting. We're doing a lot of progress with the 7 million tonnes agreement, and we start to do some drilling in one of those places like a few weeks ago, which is quite encouraging. We secure a lot of, I would say, agreement with the local community. And so it's going really well. And on top of that and outside of that 7 million tonne agreement, we are also negotiating with our community and it's really encouraging to see the momentum that's been created. But we're not publishing everything, all the new agreement that we're having up there. But I mean, I feel really good with the continuity of San Bart based on the, I would say, the expertise that we get at sourcing ore from third party. So it's -- and we have a solid reputation there. So it's going really well for us. I'm very pleased.
Operator: This concludes the question-and-answer session. I'll turn the call to Alberto for closing remarks.
Alberto Morales: Well, thank you, everyone, for joining, and we certainly look forward for Q4 and end of the year. And my thanks to all of you for your continued support.
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect.